Operator: Good afternoon, ladies and gentlemen, and welcome to the Zomedica First Quarter 2024 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference over to [ Mike Vallie ] at ICR [ Westwicke ]. Please go ahead. 
Unknown Attendee: Thank you, operator, and good afternoon, ladies and gentlemen. Welcome to Zomedica's First Quarter 2024 Earnings Results and Business Update Call. Joining me on today's call are Zomedica's Chief Executive Officer, Larry Heaton and Chief Financial Officer, Peter Donato.
 Before we begin, we'd like to remind everyone that on this call, we will be making various remarks about future expectations, plans and prospects that constitute forward-looking statements. These forward-looking statements are based on assumptions, and there are risks that results may differ materially from those statements. As such, Zomedica cannot guarantee that any forward-looking statements will materialize, and you are cautioned not to place undue reliance on them.
 We refer to current and -- we would refer current and potential investors to the forward-looking information and Risk Factors sections of our public filings available on SEDAR at www.sedarplus.ca and on EDGAR at sec.gov. Forward-looking statements made on this conference call represents Zomedica's expectations as of today, Thursday, May 9, 2024.
 I will now pass the call over to Zomedica's Chief Executive Officer, Larry Heaton. Larry? 
Larry Heaton: Thanks, Mike. I'd like to start by thanking our shareholders for your support. Wish our prospective investors and analysts and others a good afternoon, and welcome all to the Zomedica first quarter earnings results and business update call. I'll start today by providing an update on the overall business, then our Chief Financial Officer, Peter Donato, will walk you through our financial results. After our prepared remarks, we'll open the phone line and the web to your questions.
 So just a bit earlier today, Zomedica released its financial results for the first quarter of 2024. Overall, we continued to build on the momentum we generated during our record-setting 2023 which resulted in the strongest first quarter in company history. Revenue for the quarter was $6.3 million, reflecting just over 14% growth over the first quarter of 2023. With increases in both our Therapeutic Device and Diagnostic segments and was a higher rate of year-over-year growth than we saw in the first quarter of 2023 from the same products, further validating our strategy to fuel growth through the expansion of our innovative product portfolio. We expect this rate of year-over-year growth to accelerate during the year.
 During our last earnings call, we laid out our strategic road map to drive growth during 2024 and beyond. And today, I'll provide an update on the progress we've made on a number of those initiatives. I'll start with our commercial organization.
 Late last year, we recruited a new industry veteran Head of Sales. During the first quarter, he has been taking steps to optimize our commercial strategy and tactics to drive accelerating growth through the balance of the year and beyond, to ensure the long-term success of our recently expanded product portfolio. With respect to our U.S. direct sales force. We continue to see the positive benefits of our maturing team with our average sales rep having now been in their role for over a year.
 With the increasing penetration of our products into equine and small-animal veterinarian practices, we're seeing the impact of cross-selling opportunities. The trust we've developed with customers through their utilization of Zomedica products to date, has allowed for our representatives to successfully educate veterinarians on the benefits of bringing additional Zomedica technologies into their practice, furthering our penetration within our existing customer base.
 Another of our commercial initiatives is continued international expansion. We currently generate about 14% of our revenue by selling just our Assisi and PulseVet products in certain international markets. As I'll discuss in more detail in just a minute, in the near term, we'll be expanding our international commercialization efforts to include both VetGuardian and TRUFORMA, followed by TRUVIEW's international launch a little later this year.
 Turning to an update on progress made within each of our key product lines. I'll start with the Assisi Loop family of products. In addition to adding the Assisi Loop products to our existing PulseVet distributors, and to new distributors as we establish them, we're also launching the Assisi products into 10 additional international markets through Amazon online channels this quarter. Work continues on expanding this innovative and proprietary targeted pulsed electromagnetic field technology into additional products beyond our current Loops, DentaLoop, Loop Lounges and Calmer Canine Devices.
 Now for PulseVet. The primary driver of growth with PulseVet is the growth of our installed base of systems within veterinarian practices. As of the end of the first quarter, we now have over 2,000 systems in active use by customers spread across all 50 states in the United States as well as 30 countries around the world.
 As our maturing sales organization gains more experience in the field and our marketing efforts continue to extend their reach to small animal veterinarians, we expect to gain entree into many new practices, allowing us to continue to grow the installed base and drive increased utilization of our high-margin consumables. In support of those efforts, we're working to develop quality research to help expand clinical indications for use.
 For example, during the first quarter, multiple peer-reviewed reports of clinical studies were published that reinforced PulseVet shock wave therapy has being an optimal solution for working dogs suffering from fibrotic myopathy, and for horses afflicted with bleeders and more recently, equine asthma. In addition, we're awaiting eagerly, the publication of multiple studies evaluating the potential of PulseVet to delay or even effectively prevent the onset of osteoarthritis in dogs. With these studies in hand, our marketing team can translate the proven benefits of PulseVet across these untapped use cases to help drive increased usage.
 Now let's turn TRUVIEW. A key growth driver for our TRUVIEW digital cystoscopy platform is the commercial launch into international markets. To facilitate that, we're working on securing CE mark certification and expect that to be achieved soon. With a CE mark in hand, we would be allowed to introduce TRUVIEW throughout the European region, significantly expanding our market opportunity outside of the U.S.
 Another development we're excited about with TRUVIEW is the introduction of AI interpretations of scan images, which we expect to launch later this year. This will complement in-office viewing of images and telepathology reports that are currently being provided by the system and will add a new source of recurring revenue to the monthly subscriptions and charges for on-demand pathology reports that are currently generating revenue.
 Now we always want to put our best foot forward with customers, especially with the new product. And so we've limited our launch activities with TRUVIEW just a bit pending the addition of the AI interpretation service. This has allowed us to work collaboratively with early adopting customers, and we've incorporated several enhancements to the system as a result of customer feedback.
 Now turning to an update on the progress made with TRUFORMA. We continue to be encouraged by the growing adoption of TRUFORMA as we're seeing an uptick in increases in our installed base. Importantly, we're seeing expansion into equine veterinary practices as we benefit from our growing portfolio penetration across both equine and small-animal vet practices. In mid-March, we announced the publication of research supporting the capabilities of the TRUFORMA platform, specifically for the diagnosis of feline hyperthyroidism compared to the current gold standard assays, which are widely used by reference labs globally.
 The authors of the publication concluded that our TRUFORMA assay more accurately identifies hyperthyroidism in cats than the current gold standard, thereby improving the early diagnosis of feline hyperthyroidism.
 Not only do these findings highlight the value of TRUFORMA's assay in terms of its ability to deliver more accurate results and avoid misdiagnosis, it could do so in less than 20 minutes within the veterinary clinic. Saving the vet a significant amount of time when attempting to make a diagnosis by eliminating the need to have samples sent out to a reference lab. These results are highly encouraging and validate the clinical and economic benefits that the platform can bring to a veterinarian's practice.
 One of the core benefits of our acquisition of Qorvo Biotechnologies, the original developer of TRUFORMA, was our ability to accelerate the development and commercialization of new assays and during 2024 we expect to launch at least 5 new assays during the course of the year for both small animals and horses. But beyond development and commercialization of new assays, the acquisition of QBT enabled us to do a number of things to improve the platform and the value that customers can derive from it.
 Since you're definitely seeing the investments we're making reflected in our overall operating expenses and margins, I'd like to share what those investments are getting us. First, what we call our 4 RES upgrades. As you know, we launched our first combination or multiplex cartridge, including both cobalamin and folate assays in the fourth quarter of last year. Now this necessitated upgrading our existing TRUFORMA instruments in the field to accommodate combining up to 3 assays in a single cartridge. 4 RES, stands for 4 resonators. 4 resonators equals 3 for assays plus a control.
 We've now upgraded nearly all of our existing installed base and all new placements get the new model. In addition, each of the existing cartridges that required revision to work in the 4 RES environment. This has been accomplished with cortisol, eACTH, canine pancreatic lipase, cobalamin and folate assays with the balance of our menu being revised now.
 Second, leveraging the human version of the TRUFORMA instrument. When we acquired QBT, we received a significant number of Omnia instruments, which were intended for human use and are all 4-RES capable. Rather than keep all of them on the shelf with the rest of the assets of the human-oriented business ready for future monetization, we're converting them into TRUFORMA instruments to meet our growing demand for placements, allowing us to save money versus manufacturing new ones from component parts.
 Third, over-the-air updates. Each time we launch a new assay, a software update for our installed base is needed to add the capability to run the new assay and provide appropriate reference ranges and clinical support, et cetera. Now up to now, this has required an in-person visit from our sales team with a USB stick to upgrade the software. Shortly, we expect to release over-the-air software and firmware update capabilities to our customers who will then be prompted when a new software update is available on the device and will be able to apply the update with the push of a button. Demonstrating our dedication to accelerating delivery of highly beneficial assays on the TRUFORMA diagnostic platform.
 These capabilities further reduced barriers for customer adoption of newly launched assays as well as provide efficient means for delivering timely enhancements for existing assays to customers. With the growth of a TRUFORMA installed base and the growth of the platform menu with recent assay launches, the timing couldn't be better for releasing this capability.
 Fourth, enhancements of existing assays. Since the commercial launch of the TRUFORMA diagnostic platform, we've learned a great deal about how -- about how our assays perform in the field. And we're always looking for ways to make them better. While developing new assays, Zomedica's team of specialized immunologists and microfluidics engineers have discovered optimizations that can be applied to our existing assays. Including an expansion of the dynamic range, for example. We expect to launch an improvement that will extend the dynamic range for one of our most popular assays, canine cortisol, during the second quarter, which will improve accuracy, precision and diagnostic utility of [ it ] and others as they are developed.
 Also, we can extend the use by dating. When cartridges are our first released, they have a relatively limited expiration date, work continues on an ongoing basis to extend the dating, which allows for larger lot sizes to be produced, while not worrying about scrap costs, both of which contribute to improving margins.
 And finally, development of new assays. Of course, the most important of our efforts is in the development of new assays for cats, dogs and more recently, horses. We expect to launch at least 5 new assays this year with 2 assays for horses, 2 for dogs and 1 for cats with many more in development for launch next year. With these added benefits and planned improvements to the platform and our offerings, we expect that you can see that the investments represent money well spent, and we are very excited about what is to come from TRUFORMA as we move forward.
 Turning now to an update on VetGuardian. During the quarter, we saw strong adoption trends for VetGuardian as more veterinarians have begun to leverage the platform's capabilities within their practices. 
 About 1/4 of the clinics our reps sold VetGuardians to in the first quarter, bought 2 or more monitors upfront. As you may recall, our My Zomedica web portal can accommodate up to 8 monitors at a time on a single screen. And in fact, during the first quarter, we had 1 customer who purchased 8 monitors [indiscernible]. Incidentally, our published total addressable market calculations use only 1 unit per customer to size the potential market. So we're very pleased with the multiple monitor purchases as they represent market expansion.
 Our progress with VetGuardian speaks to the value customers are seeing from this innovative product and points to the increasing awareness of it as a transformative technology that helps veterinarians ensure pets are safe and supervised at the clinic during the times that they are at their most vulnerable.
 Additionally, on Monday, we announced the achievement of a significant milestone, CE marking for VetGuardian. This certification allows the platform to be sold throughout the EU, the European Union, and select other countries that use CE marking as a sort of validation, giving veterinary professionals, who are seeking an advanced solution to elevate patient care and streamline practice operations, access to this innovative technology. With CE mark in hand, we're turning our attention to a formal international launch as we evaluate and onboard additional distribution partners in this region to help meet demand for this product, which we're already seeing.
 We're also excited about our development projects to bring VetGuardian the equine market. Given our deep penetration within the equine vet market with PulseVet and now with TRUFORMA, we believe our launch of an equine VetGuardian option in late 2024 will be very well received, help drive accelerated adoption by vets in 2025 and beyond, and set the stage for potential expansion of the market opportunity to horse trainers, breeders and owners.
 Now as we just discussed, we have a significant number of irons in the fire as it relates to innovation within our product portfolio. We have a massive addressable market that is largely untapped, and between our commercial and product development efforts, have an exciting opportunity to drive growth for years to come, building to an annual run rate of $50 million in revenue by the end of 2025 and increasing to an annual run rate over $100 million, 2 years after that.
 In addition, we continue to look for opportunities to supplement our portfolio through business development and M&A activities. Leveraging our well-capitalized balance sheet will remain opportunistic, focusing on acquisitions and other business development deals to add products that meet our 5 pillars: Improving the quality of care for the pet, the satisfaction of the pet parent as well as enhancing the workflow, cash flow and profitability of the best practice and importantly, would also be accretive to earnings, shortening our timeline to profitability.
 Let's talk a little bit about operations. Following our acquisition of QBT, we took steps to optimize our new Plymouth, Minnesota facility. We decreased our footprint recently within the facility by 17% by vacating 1 of the suites we had acquired and no longer needed.
 On the investment side, we also acquired and are in the process of installing cutting-edge automated robotic equipment, allowing us to produce 1 million cartridges per year in a single shift, which would produce in turn, tens of millions of dollars of revenue. While we invested over $4 million in this equipment, we expect this technology and facility optimization to allow us to improve margins as TRUFORMA continues to scale.
 Another focus area within operations is the continued protection of our robust portfolio of intellectual property, including patents and trademarks. As announced last week, we were recently issued a number of key U.S. patents related to TRUFORMA, which brought our total Zomedica IP portfolio to 188 U.S. and international patents with 62 additional patents pending and 131 trademarks. Now we issued that press release about a week ago or so, but these numbers are already out of date. As we just learned of several additional international patents and additional trademarks issued since that release, bringing our total IP portfolio as of today to 201 issued U.S. and international patents, with 61 patents pending and 133 trademarks.
 While the investment in IP portfolio doesn't directly correlate to increased sales, it does protect our investment in the development of innovative solutions, which enables us to devote resources to tapping into new market opportunities without the concern of fast followers attempting to copy and leverage our technology.
 Before I hand the call to Peter, I want to reiterate that we're proud of what we accomplished during the first quarter. We're in a great position to capitalize on the significant market opportunity that exists during the balance of this year and beyond.
 With that, I'll hand it over to Peter for the financial review and corporate update. After his remarks, I'll come back to provide some closing comments. Peter? 
Peter Donato: Thanks, Larry, and good afternoon, everyone. Total revenue for the first quarter of 2024 was $6.3 million. That's a record first quarter and an increase of 14% over the prior year quarter, driven by solid growth across both segments of our business. As Larry mentioned previously, we are pleased to see the increase in growth rates year-over-year, especially with the products that were sold in 2022, 2023 and 2024.
 First quarter 2024 capital revenues were $2.2 million. That's up 30% from $1.7 million in the first quarter of 2023. We continue to be pleased with the number of devices being put in service in the field, particularly in small animal and mixed-vet practices that continue to be a focus area of our company. Keep in mind that capital sales are a good leading indicator of future high-margin consumables business. 
 It is important to note that this quarter included solid contribution from VetGuardian which had limited sales during the first quarter of 2023. As a reminder, VetGuardian sales begin with a capital purchase. On the first anniversary of that sale, a monthly recurring revenue stream for monitoring services kicks in, that will contribute to increased consumables revenue as we move further into 2024. In addition to the classic recurring revenue stream, we expect to continue to see a snowball effect on capital revenue for VetGuardian as more practices purchase a second, third or as Larry said just earlier, an eight monitor, and this repeat purchasing is happening at an accelerated rate.
 In the first quarter, consumables revenue grew to $4 million. That's an increase of approximately 7% over the first quarter of 2023 revenues, which checked in at about $3.8 million. Consumable revenue represented 64% of our quarterly total revenue.
 Our first quarter Therapeutic Device segment's revenue from PulseVet and Assisi products, this grew to $5.5 million, an increase of approximately 9% over the first quarter of 2023 revenues of $5.1 million. This was driven by continued adoption and utilization of PulseVet.
 First quarter Diagnostics segment revenues were about $744,000, that's an increase of 87% over the first quarter of last year. This was driven by significant year-over-year growth from VetGuardian and TRUFORMA. Within the Diagnostics segment, capital revenues grew over 200% and consumable revenue grew by more than 50%.
 Gross profit for the first quarter of 2024 was $4.1 million compared to $3.8 million in the first quarter of last year. Gross profit margin for the quarter was 66%, and that's in line with previously stated guidance, which we gave a range of 65% to 70%. Adjusting for our Qorvo acquisition and other onetime items brings gross margins for the quarter to over 69%, more in line with historical levels.
 Operating expenses for the first quarter of this year were $14.5 million compared to $11.3 million in the same period of 2023, an increase of $3.2 million. When adjusted for onetime nonrecurring charges and expenses associated with ongoing QBT operations, total operating expenses were approximately $12.6 million, and we continue to expect these operating expenses as a percentage of total revenue to decrease throughout the balance of this year.
 In the first quarter, we doubled our investment in R&D, with expense checking in at around $1.8 million from last year's $900,000. While some of these increases were driven by ongoing operation and integration costs from our acquisition of QBT, I'm pleased to report that we continue to make investments across our whole product portfolio that includes CE marking for TRUFORMA, TRUVIEW and VetGuardian products, incorporating artificial intelligence into TRUVIEW and VetGuardian product, and developing new TRUFORMA assays for launch later this year. 
 In the first quarter, sales and marketing spend was $4.1 million compared to $3.4 million during the same period of 2023. The increase was primarily due to our growing sales organization and higher trade show expenses associated with the two largest animal trade shows that are held annually in the first quarter of the year.
 For the first quarter of 2024, G&A expense was $8.6 million compared to $7 million during the first quarter of 2023. The increase was almost exclusively driven by professional fees for specialized accounting, tax and audit work associated with accounting for acquisitions, including those that were made late last year. We also had additional fees associated with ongoing programs related to regaining and maintaining compliance with the New York Stock Exchange.
 Net loss for the first quarter was $9.2 million or $0.01 a share compared to a net loss of $6.4 million or $0.007 per share in the first quarter of 2023. Non-GAAP EBITDA loss, which includes adjustments for stock compensation for the 3 months ended March 31, 2024, was $7.5 million compared to a loss of $4.1 million for the same period in 2023. When adjusting for nonrecurring items, our adjusted non-GAAP EBITDA loss was $6.2 million and when further adjusted for ongoing QBT integration and associated direct labor costs, the loss falls to approximately $5.3 million.
 Turning to the balance sheet. Zomedica ended the first quarter with $90.9 million in cash, cash equivalents and available-for-sale securities. Cash used in the first quarter was about $9.6 million and included operating expenses related to the QBT acquisition and other professional service fees, which I mentioned earlier when discussing our G&A expenses. The remaining $4.4 million was used for operating expenses during the quarter. And as a reminder, we have 0 debt.
 Now turning to guidance. We are reiterating the guidance that we've provided earlier this year, we continue to expect full year revenue in the range of $31 million to $35 million. We continue to be able to reach the low end of this guidance range through the strength of our Therapeutic Devices segment, with the remainder of the growth driven by the performance of our Diagnostics segment.
 Please remember, our business is impacted by seasonality with the first quarter being the lowest and the majority of revenues coming in the back half of the year. We expect this trend to continue throughout 2024 with sequential increases in revenue as we progress throughout the year. Beyond growing revenue, we continue to be focused on profitability. As a reminder, we expect to achieve cash flow breakeven or profitability when we reach an annual run rate of revenue at approximately $50 million. And as we've been stating, we expect to achieve this some point in -- during late 2025.
 In 2024, we continue to expect the burn from cash to be $12 million to $18 million, and this will include some potential CapEx during the year. And as I've stated previously $25 million to $35 million of total cash will burn before we turn positive -- cash flow positive, again, expected in late 2025. As you can see, our liquidity position will remain very strong with no immediate need to raise or borrow capital in the current markets.
 I'll now hand the call back over to Larry for final remarks and our Q&A session. 
Larry Heaton: Thanks, Peter. As you can tell, we continue to be excited about the future of Zomedica. We follow the most successful year in company history with our best first quarter ever. To help continue that momentum, as outlined earlier, we have a significant number of initiatives in place to help drive growth in the business while doing the work behind the scenes to set ourselves up to achieve profitability.
 So let me end our prepared remarks by again thanking those that have been supportive of Zomedica, including animal health professionals and pet parents worldwide and the many, many shareholders of Zomedica.
 With that, I'd be happy to open the line for questions. Operator? 
Operator: [Operator Instructions] 
Larry Heaton: Operator, if there's no questions on the line now. We can go to the web questions. 
Operator: Yes, please. No questions as of the moment. 
Larry Heaton: Okay. Great. So let's take some of this from the web. Here's one. How many of your products are approved for overseas sales?
 So currently, we are selling the Assisi Loop products which include the Loop, the Loop Lounge, the DentaLoop, Calmer Canine. And we're also selling, of course, PulseVet system outside the U.S. The -- for equine applications and now for small animal applications in an increasing way. We just received CE mark for VetGuardian. We expect CE mark for TRUFORMA yet this quarter. And then we expect to TRUVIEW CE mark also shortly.
 So once we have CE mark, that means that we can -- they're "approved for sale," not exactly like that, but it means the same thing. But they're approved for us to sell into any country in the European Union. And there are several other countries around the world that use CE mark, even though they're not in the European Union. So we get a really large exposure to international opportunities with the CE mark. And then certain countries have their own individual requirements. And as we assess those markets for potential, we'll do whatever we need to get those approved should the market opportunity be significant enough. So 2 for now -- well, actually, 3 as we sit here today, 4 and maybe 5 by the end of this quarter.
 Second, do you expect to be able to show profitability -- it says probability, but profitability in the near future, especially with your EU approval? Pete, do you want to take that one? 
Peter Donato: Yes. I stated in my prepared remarks that we expect profitability on a cash flow basis, when the annual revenue reaches about $50 million or that run rate anyways, and we expect that in late 2025. With direct reference, anything, whether it's EU approval or any kind of accelerated growth might move the timeline. But right now, we're going to hold to the guidance I just said. 
Larry Heaton: Okay. We have a couple of questions on here, Pete, about the potential for a stock buyback. Do you want to comment on that? 
Peter Donato: Yes, that seems to always be a top question both when we're out in person and on the web on these calls. Larry, we've been very clear that preserving our cash to cover our burn and reduce losses through interest income is very important to us. We're investing, as you just went through, lots of commercial expansion. You went through in great detail the R&D and the new products. We highlighted a lot of that today. We want to be ready to acquire new companies and technologies without incurring any debt. 
 We feel that this far outweighs any short-term means and share price that we would get from a share repurchase program. And in most cases, we just wouldn't have any satisfying appreciation of the stock. So we don't believe there would be any buyback large enough to have a meaningful and long-term impact on the stock price. We don't believe that will help us regain compliance, and certainly, wouldn't help us retain compliance over the long haul. So a long answer, Larry, to no buyback. 
Larry Heaton: Here's one. Where are most of your customers? West Coast, East Coast or Central?
 So that's a good question. We currently sell -- as I mentioned earlier, we have PulseVet being sold in all 50 states in the United States. But since it's primarily been up until the last couple of years that it's been for equine applications. Those tend to be clustered where there's a lot of equine, horse activity. So a lot in Florida, a lot of California, a lot in the West. Fewer in, say, some of the Eastern areas. But it's in every 50 -- it's in all 50 states.
 TRUFORMA, of course, we don't disclose the installed base for TRUFORMA, but I will tell you that as of a couple of days ago, somebody asked me a question and it's, we now sell TRUFORMA in 47 states in the United States, and I chatted with Kevin Klass and suggested, why don't we make that an even 50, and so we've got focus on the remaining 3 states. So pretty much -- the products that we sell to small animal vets, those should really be everywhere.
 There's a question on here, do we sell -- making sales in Virginia? And the answer is, yes, we do. Both for PulseVet and also for TRUFORMA, I'd have to check to see about some of the other products.
 Pete, there's a couple of questions about where we stand with the American Exchange. You want to take that one? 
Peter Donato: Yes. There's been no changes since our public guidance. We had a good conversation with the Exchange in March. I think we had a press release. There's been no changes to that. What that means is there's no specific duties or tasks that the Exchange has asked from us. They -- head-down operating, trying to get the stock to $0.20 organically. So they are monitoring us. They've made it clear. We continue to dialogue with them. At this time, there's been no updates other than the one I just said. 
Larry Heaton: Okay. All right. Let's see. Well, there are some questions about cash. How much cash do we have now and what will be our low point? 
Peter Donato: Yes. So it was also in my prepared remarks, we ended the quarter with $90.9 million. And I mentioned that we had an operating cash burn of $4.4 million in Q1. That and I also said that's likely the high watermark for the year. We've been very clear that we think the burn for the entire 2024 is $12 million to $18 million. Now it's the second or third time we've guided folks to that. And we also, I think, either in February or certainly in April, and I've repeated it again today. We believe the low watermark for cash will be $25 million to $35 million from year-end cash, which was $100 million. 
Larry Heaton: So then the low watermark for cash would be around $65 million to... 
Peter Donato: $65 million to $75 million. 
Larry Heaton: Right. And that's not counting on any acquisitions, of course. And what do we think about acquisitions? There's a couple of questions for that.
 And I mentioned that in the remarks and that is we're going to be opportunistic. The products that we have today are capable of generating hundreds of millions of dollars of revenue over time. And we have a strategic plan that sets out a pathway for us to get to that $50 million milestone and a $100 million milestone that we have talked about previously. And that's with the products that we currently have.
 There is no reason -- however, especially since our low cash mark, as you just heard from Peter, is going to be around $65 million, and we have no debt. There's no reason why we can't make additional acquisitions. Of course, they need to fit with our product line and our portfolio, but also what we're looking for now would be those that would be accretive to earnings so that we would get to profitability even sooner than we currently anticipate.
 Have you solved the refrigeration obstacle with the TRUFORMA cartridges in order to expand internationally?
 As I mentioned on a previous call, that sending international was made more difficult by the need for refrigeration. And it is -- that is absolutely true. The need for refrigeration makes it a little more complex. However, as I've been out and talking to international distributors, particularly of equine distributors but also small animal distributors, as it turns out, many of them and the ones that we currently are doing business with have cold chain capability. So a lot of vaccines and certain drugs for animals have to be refrigerated. So they already have that capability. And so for us, either we already have a distributor that has it or the ones that we pick up as we move forward, we insist that they do have that cold chain capability.
 And then the other thing that helps us to sort of address that issue is the extended dating, which is one of the benefits of having control over the entire development process since we picked up QBT. That extended dating not only allows us to do larger lot sizes but also gives us a little more dating to allow for the shipping time to international markets. So we're pretty happy with that as we move forward.
 What percentage of future earnings do we feel will come from overseas? 
 So that's almost a trick question, right? So it really depends upon the relative rate of growth. In the U.S. if we stopped now, selling in the U.S., then the increase -- the percentage of sales from international would increase and increase and increase. However, far from stopping in the U.S., we expect to accelerate growth in the U.S. And so as long as they're on par, I'd be super happy with 15% growth going forward. As long as that includes all of our 5 products, and we're making significant increases in international revenue, it just means that the U.S. revenue would be growing at the same pace. So we expect for... 
Peter Donato: I don't think you -- did you mean 15% growth, Larry? You meant 15% of the overall... 
Larry Heaton: Yes, of the overall revenue. Yes. I mean -- and listen, 15% growth is nothing to sneeze at. I mean that's among the highest growth rates in the animal health industry, but we feel we can do a lot better than that as we move forward.
 Let's see what else we got on here. There are some -- there's lots of questions on here about the stock price.
 And -- the thing that I would have to say to that, even to the ones that are maybe not so nice in the way they asked the question. The thing I would say about that is that as a company, what we can control is the ability to operate the company efficiently and get to profitability and efficiently deploy capital to grow the value of the company, which, at the end of the day, is the value to the shareholders.
 It will fluctuate with the stock price, of course, as the market sets the price today and it changes it tomorrow. But the underlying value of that stock is the value of the company. And the value of the company increases as we increase revenue, as we maintain industry-leading margins, as we gain profitability, these are the things that we're working on.
 Remember, it wasn't that long ago, 2.5 years ago, when the company had no products on the market and really not a lot of opportunities at that point in time. Today, you have a company -- the shareholders own a company that has last year, $25 million in revenue, growing revenue this year, industry-leading margins, a competent management team, manufacturing capacity, a good sales force that's growing. Inherently, it is a more valuable company. 
 However, a few years back for whatever reason, the market priced the stock pretty high. Today, the market is pricing the stock differently. We can't control that. As Pete talked about, we could have artificially try and impact the stock price by doing a buyback. There are other things that we've talked about before and aren't doing now to affect that in different ways. But at the end of the day, what we can focus on is to build the value of the company, and that is what we're doing.
 Pete, any additional commentary on that? 
Peter Donato: I think that's right. I mean the key is to put guidance out there. We did that for the first time in company history, and it's our job to hit that guidance and in fact, exceed those numbers. So that's what we're trying to do. And we've given guidance, I think, some aggressive guidance up to 40% or 39% potential revenue growth year-over-year. 65% to 70% margins, you know what? And we've reiterated those several times already this year. So it's -- that is what we're paid to do, and that's what we're going to continue to try to do. 
Larry Heaton: Yes. I think we should also clarify something. So we had a question that says, "You bought all the revenues you have from raised money from shareholders, not an accomplishment."
 And what I would say on that is that we did acquire companies with -- cash that the company brought in from shareholders, from people that bought shares, right? We sold shares, brought cash in, cash was on the balance sheet. I came in, we began deploying that capital. But it's not a case that we bought the revenue that we have today.
 For example, PulseVet revenue, when we acquired it, trailing 12 months was $12 million. They had about, what? 1,200 -- an installed base of around 1,200. I just announced we have an installed base of over 2,000, 2 years later. They spent 10 years getting to 1,200. We did 8/12 of that. So 3 quarters increase in the installed base in the last 2 years. The Assisi product line, it's been going pretty steady, and that's -- it's doing what we expected it to do. We expect it to grow going forward, especially with the launch of this year.
 VetGuardian wasn't in the market when we acquired it. The TRUFORMA product clearly is not something we acquired from anyone, and that product is growing. And the same thing with the microscope. Rather those products were in development. We completed development and as we sell them, that's all brand-new revenue.
 The thing we pride ourselves is not on selecting good companies or good product lines to acquire. But rather to select product lines and that are not only good to acquire, but also with some effort put into them, with some development put into them and with the right sales force selling them can significantly increase the revenue. We've done that with each of the products that we've acquired. So you can -- it might not necessarily be an accomplishment, but it is something that we're very proud of.
 Let's see what else we got here. Some comments with respect to fibrotic myopathy in working dogs. What is the strategy for this market?
 I mean, I think it's almost implied by how we talk about it, right? So what Dr. Alvarez and her colleague from the Animal Medical Center in New York, which is sort of one of the pre-eminent animal health hospitals in the country. What her study showed was that she was able to extend the working life of working dogs by on average 32 months. And these are dogs that are super expensive and are trained. It takes a long time to train them. And so that's a very big significant impact. Needless to say, our team is now contacting various groups that utilize working dogs. I've seen some leads come in that say -- in fact, another question was what about Canada?
 I saw a lead the other day from a pet owner in Canada that said, "My dog -- my German Shepherd has fibrotic myopathy. Can you hook me up with a veterinarian that has PulseVet here in Canada?" And we did just that very thing.
 Are we adding more products? 
 Yes. So this year, we're adding 5 new assays for the TRUFORMA product line. We are adding equine version of the VetGuardian product, which will come out later this year. We're adding an AI component to the TRUVIEW microscope, which will come out later this year. So -- and that's not counting any products that we might acquire as we move forward.
 Let's see. Any acquisitions? We talked about that already. Is VetGuardian equine compatible?
 Not yet. It's one thing when you have the VetGuardian hanging outside a cage, pointing at a cage where you have a dog or a cat, may have restricted movement. But with a horse that's different. They're in a stall, they move around. And so as a result, there are some differences in how you need to be able to continuously hone in or focus in on the part of the animal that will give you the vital signs that you're needing to get. That work is ongoing. And as I mentioned earlier, we expect that to come out a little bit later this year. We know that it works. In other words, if you had a horse and you stood them still and pointed the thing, at them, and he didn't move or she didn't move, it works. So we need -- we now just are adjusting it so that it will work when they move.
 At the current burn rate, how long before we are in trouble? And are you guys happy with the Zomedica team performance? Pete do you want to take that one? 
Peter Donato: Yes. I think we've answered it a couple of times. So $12 million to $18 million is the burn for this year. And the cash low watermark, we've guided to $65 million to $70 million. So not running out of money anytime soon. And yes. 
Larry Heaton: Yes. Does upper management intend on repurchasing shares in the near future?
 I think that question might be purchasing shares as opposed to repurchasing shares. But if it's with respect to individuals, the management team, the Board of Directors, people that are privy to inside information here aren't able to purchase shares in the open market until we have what we call an open window. And the window opens to -- 48 hours after this call. And then it stays open until 2 weeks before the next one of these calls. The next earnings call. And during that time, then people are free to purchase shares, and some may. It would be a personal decision just like it is for every potential shareholder out there. Having said that, the window hasn't been open... 
Peter Donato: For months. 
Larry Heaton: For many, many months. 
Peter Donato: 6 months or more. 
Larry Heaton: Yes, it's been 6 months because of the way that the fourth quarter works. And I see some questions or comments on here about the timing of the fourth quarter results. Peter, do you want to comment on that? 
Peter Donato: Yes. So we're up against SEC deadlines. So I -- you can tell by some of my prepared remarks that it was a complicated year, right? We had some very big acquisitions that were complicated in nature. And we have a pretty small staff here. I think there's 3 degreed accountants or something in the building. So that's what we were working on, and it just took us a little longer this year to close the books. 
Larry Heaton: Yes. There's a question about will there be any ways to have a vote on the Board of Directors?
 I would refer you to, if you're a shareholder, then you certainly have a right to vote on that. If not, well, buy some shares and then you will be. But if you're a shareholder, there is a there's a proxy statement that is going around now and you'll be asked to vote on a number of things, you'll be asked to vote on the directors, you'll be asked to provide your advisory say-on-pay and the auditors approve it. Yes. So some of you may have already received your proxy cards. But if not, you'll receive it in the very near term, and I encourage you to exercise your right to vote, which vote will be held on the annual meeting, which will be held on... 
Peter Donato: June 6. 
Larry Heaton: On June 6 this year.
 Will there be a cancer assay developed? We'll continue to look at assays. Assays don't -- for TRUFORMA, assays don't generally work like that in terms of trying to decide if it's cancer or not. There have been a number of companies out there that have gone down that road. And as some of you know, we had a collaboration early, early on, Zomedica trying to develop a blood test for cancer. It wouldn't have been the TRUFORMA platform, it would have been something a little different. As it turns out that technology wasn't too promising. And by the time we looked at it and it would get to somewhere else, there were a number of other companies on the market.
 And I think I've commented on that a couple of calls ago or maybe 3 or 4 calls ago, whatever it was, that we looked at it and decided that it wasn't opportune at this time for us to get into that business. Now that question, of course, in that was a matter of judgment at the time. The largest company in that business, PetDx, which was also a public company, right? They're public? 
Peter Donato: Private. 
Larry Heaton: Private. No, they were a private company called PetDx, and they offered a blood test for cancer, and they just went under. Because as it turns out the market for pet parents to do a diagnostic assay for cancer didn't seem to be what they were looking for. And so as a result, we think that we stand by that decision, and we kind of wait and see how that market fleshes out in the future. Maybe there'll be an opportunity for us, but that will be based on a lot of factors.
 Okay, so pretty much most of these questions -- here's one, Pete, that's definitely for you, right? Congrats on a good R&D spend. Thank you. With regards to your CapEx spend, are you using any accelerated depreciation? Would you regard your position as conservative? 
Peter Donato: Yes. I don't know. All of that is disclosed in the K and the Q, all the methods we used for that. There's definitely freight line method for book purposes, and we use a variety of accelerated methods for tax purposes. That said, we are in a NOL position. So there's not a lot of effort being -- it doesn't benefit us right now to accelerate any of our deductions because we're noncash paying at this point in time. 
Larry Heaton: Okay. There's a question here is the reverse split off the table and moving forward? 
Peter Donato: So what we've said and continue to say is we explore all options. There's many, many options on the table. What I've said publicly multiple times, Larry, as we looked at probably 2 dozen or more potential remedies to get us into compliance and remain compliant. We narrowed that down probably to 6, 7, 8, maybe a couple of derivatives within those and the reverse split was 1 of them. You and I spoke very clearly in April that we've heard our shareholders loud and clear. They didn't want it. There were -- about 35% of the shares were voted, of those 35% that were voted just over 60% said no.
 So you and I spoke in April, we accept those results. We'll always think about those things. And clearly, having less shares out there would benefit us. For all the reasons that I've cited over and over. In fact, I just sat in on a call yesterday, we would have -- likely have been included in the Russell 2000. We met most, if not all, the criteria and likely would have been selected, had our share been trading at over $1. So the reverse split would have helped us in that regard in being in an indices, but we are not putting -- we didn't put a reverse split on the annual meeting ballot. And we're not doing -- have no plans at this time. 
Larry Heaton: Okay. And then I think maybe we'll take one more, which is what is -- what are the future plans on the human version of TRUFORMA?
 And with respect to that, as we've talked about before, the product was developed for the human market, the Omnia version of the instrument. And all of the assets for the human business, whether it be the intellectual property, the clinical trial data, the FDA approval, emergency use authorization for COVID testing, many parts and some finished goods. All of those have been preserved in a sort of a pristine way.
 We expect that as time goes on, we will seek to monetize that asset either in some way. Most likely, it would be licensing or sale of the assets just to a start-up that 1 or 2 -- or a strategic that wanted to take that product into the human market. We expect that the more -- the bigger foundation we lay in the animal health market with assays across the board, and there are dozens of assays that we are contemplating launching that, that will enhance the value for people to potentially want to take that into the human market. We compare that -- we can combine that, if appropriate, with our TRUVIEW device because again, we own all of the human rights to that market as well.
 And so the only other thing I would say is that, and this will just be a message to [ Rami. ] I'd be happy to talk to you personally. You have my e-mail address. So give me -- get in touch with me if you like, directly. And I'd be happy to address some of your comments just one-on-one.
 Other than that, if there are any other questions on the phone bank operator? If not, I would thank you all very much for your participation today and your support of Zomedica, and feel free to reach out any time with questions. Thank you. Operator? 
Operator: Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect.